Operator: Good morning. My name is Natalia, and I will be your operator today. Welcome to Ecopetrol's Earnings Conference Call in which we will discuss the main financial and operational results for the first quarter 2024. There will be a questions-and-answer session at the end of the presentation. Before we begin, it is important to mention that the comments in this call by Ecopetrol's senior management include projections of the company's future performance. These projections do not constitute any commitment as to future results, nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared in this conference call. The call will be led by Mr. Ricardo Roa, CEO of Ecopetrol; Alberto Consuegra, COO, and Maria Catalina Escobar, acting CFO. Thank you for your attention. Mr. Roa, you may begin your conference.
Ricardo Roa Barragan: Good morning, everyone. Welcome to the first quarter of 2024 earnings call, a quarter in which we are moving forward on the path of growth. Thanks to the collected work and a part of all our employees and partners. The results show that we are still maximizing the opportunities in our traditional business. We continued to achieve excellent operational figures. We closed the first quarter with a production of 741,000 barrels of oil equivalent per day, a transported volume of 1,118,000 million barrels per day and refining loads of 428,000 barrels per day with an high operational availability of our refineries in 96%, reaching levels comparable with the best refineries in Latin America. During the quarter, we announced the commercial viability of the Arrecife gas field in the Cordoba department adding approximately 6.7 million cubic feet of gas and the signing of a gas exploration agreement in Piedmont Norte with Paris. This milestone is trading our commitment to the country's energy security. These achievements are complemented by the outstanding commercial strategy highlighting our subsidiary in Houston, Ecopetrol U.S. trading, which started operations in October 2023 with a commercialization of 16.7 million barrels of crude and products generating an EBITDA of $37.1 million and a net profit of $28.5 million in the first quarter of 2024, 185% above the plan for the period. We are able to face that El Nino phenomenon with resilience implementing, planning, optimization and saving strategies throughout the operations and the processes. Examples include the accelerated maintenance at Cupiagua diesel timely delivery to the power plants and an 80% water reuse rate in our operations. Moving to the next slide. Our growing production translate into solid financial figures with competitive profitability showing an EBITDA margins in line with the average of the last eight years. In this way, revenues of COP 31.3 trillion, EBITDA of COP 14.2 trillion, net profit of COP 4.0 trillion, and ROCE of 11% in line with our annual target. The main impacts on the results compared to the first quarter of 2023 are mainly due to exogenous variables. Over the past year, the exchange rate dropped by COP 845 affecting the respiration of variables in pesos explaining 80% of the variation in EBITDA. When analyzing the figures in dollars for the quarter, we observed financial results at similar levels compared to the first quarter of 2023. Other variables affecting the results are increased costs due to the El Nino phenomenon, inflationary pressures and the fall in product differentials as a result of the market oversupply. Efficient management of the accounts receivable with the Fuel Price Stabilization Fund accompanied by adjustment to gasoline prices allowed us to reduce the accumulation by 72% compared to the first quarter of 2023, ensuring lower working capital pressures for the company. Additional, on April 1st, we received the transfer of COP 7.80 trillion corresponding to the account for the first quarter of 2023 highlighting the nation's commitment to FEPC payments. I want to highlight the successful closure of the legal process of the arbitration award of the Cartagena Refinery after seven years of work and effort in which we protect the interest and reputation of the company for which we have already received the corresponding compensation. I want to give a special recognition to the Cartagena Refinery and its entire team for their constant work and commitment to successfully completing this process. We maintain competitiveness in returns for our shareholders. At the General Shareholders Meeting, dividend distribution of 67% of the profits for 2023 was approved corresponding to COP 312 per share to be paid in two installments in 2024, one which has already been paid to minority shareholders in April. Additionally, I highlight the annual dividend yield of 14%, which continues to be highlight competitive in the industry. Moving to the next slide. The operational achievements shown go along with environmental, social and governance milestone that support the good performance of traditional business and the path towards a fair energy transition. In the environmental field and in line with our ambition to achieve net zero emissions by 2050 and decarbonize our operations in the first quarter of the year, we achieved a reduction of 50,000 tons of CO2 equivalent of direct emission Scopes 1 and 2, accumulating a reduction of 1.54 million tons of CO2 equivalent from our operation, which to give you an idea is equivalent to the annual electricity concession of 80 million Colombian households. We also manage responsibly and efficiently the water that we use for our operations. In the quarter, we achieved a reuse of 39.6 million cubic meters. This value is equivalent to the quarterly domestic demand of 5.4 million Colombians. In line with the above, we highlight the launch of the new circular economy model, which we have a production and consumption system that promotes efficient and sustainable management throughout the product lifecycle in our value chain and we focus our effort on achieving climate change water biodiversity among other goals. On the renewable energy incorporation we announced the inauguration of the Cartagena solar firm making it for the first in a refinery in Latin America with a solar powered plant. In the social feed during the first quarter of the year COP 65.8 billion were executed in social, environmental and relationship investments and 50 projects were developed through the tax for works mechanisms for a value of COP 431.6 billion, since the beginning of the mechanisms. Through the social gas line, we achieved the connection of 80,052 homes to gas fuel networks accumulating a total of 43,971 connection, since 2019 thus contributing to the expansion of access to essential public service for the people living in the communities where we operate. Additionally and in line with our commitment with these communities, we generate more than 73,000 jobs through our contractor companies hiding our own 85% of local labor and generating 23% inclusive jobs. The update of the bylaws reflect our commitment to gender diversity and the adequate preparation of our leaders, ensuring that at least 30% of the Board of Directors are women and requiring more than 12 years of experience for members of this governing body ensuring the presence of experts from diverse fields. The recent change in the composition of Ecopetrol Boards of Directors do not imply modifications or change in the implementation of the Ecopetrol's Group 2040 strategy by itself. Like a wiz, the corporate governance model remains valid and to date no chain proposals have been present by Ecopetrol administration. Finally, at the end of March, we observed normal change in senior management among, which I want to highlight that 73% of the new Vice Presidents come from internal talent in the Ecopetrol Group in the expected line of association reflecting our commitment to the development and recognition of talent and high performance within our organization. And finally, on the science, technology and innovation front, I highlight that within the framework of Ecopetrol Colombian Navy agreement, the participation in the 10th Antarctic expedition conclude where measurements of gases and sampling of particulate matter were carried out the data of which we serve in the reserves of offshore energy generation from renewable sources. Now I give the floor to Alberto who will talk to us about the hydrocarbons line not without first thanking him for his valuable management during more than seven years in the Ecopetrol Group. His contribution to the achievements reached were fundamental for the consolidation of the strategy. Ecopetrol wishes him much success in his new challenges. Rafael Guzman, current President of Hocol will take cover as Executive Vice President of May 11, 2024. We welcome Rafael, has been President of the subsidiary for more than five years and has grown 14 years of experience in the Ecopetrol Group. Go ahead, Alberto.
Alberto Consuegra Granger: Thank you, Ricardo. We highlight the advances in the exploratory campaign allowing us to progress discovered resources into contingent resources and reserves. I would like to mention the following. The commerciality of the Arrecife gas field, 100% operated by Hocol, located in the Department of Cordoba, consisting of the producing wells Arrecife-1ST, Arrecife-3, Arrecife Norte-1, and Coralino-1. The field showed an initial production between 5 million to 10 million cubic feet per day already available in the local market and is expected to reach a production between 20 million and 30 million cubic feet per day by 2026. We continue pursuing the commerciality of the exploratory success of the Arauca-8 well drilled in 2023 in the Llanos Foothills by our partner Parex with a 50% participation. The well confirmed the presence of light crude of 32 API degrees in the Gacheta formation and condensate gas in the Une formation with a gross production of approximately 4,573 barrels of oil per day and 7.5 million cubic feet per day of gas as of the end of April. Additionally, I would highlight the agreement with our partner Parex Resources to explore new sources of domestic gas and light crude in the Piedemonte Norte Foothills. The agreement includes the Llanos 4-1, Llanos 16-1, Llanos 121, and Siriri Blocks with a 50% participation for each party, as well as the option to jointly participate in two additional blocks. With this alliance, both companies expand their exploratory portfolio and work together to reactivate exploratory areas expecting to increase gas supply in the medium term. Regarding offshore exploration activity, progress is being made in the maturation of the Uchuva-2 appraisal well, which is expected to start drilling by the end of this month in partnership with Petrobras as operator. We also continue to make progress in structuring the business case for the development of the Gorgon and Glaucus discoveries. Let's move on to the next slide, please. During the first quarter of 2024, the Ecopetrol Group achieved a production of 741,000 barrels of oil equivalent per day, increasing by 22,000 barrels of oil equivalent per day compared to the same period of the previous year, maintaining outstanding results even under security issues and blockades in some territories, which impacted production by 7,500 barrels of oil equivalent per day. These results were leveraged by the increase in production from our subsidiaries mainly in Permian as well as positive results in Cano Sur, CPO-09, and the contribution of secondary and tertiary recovery through water injection. We highlight the successful execution of the scheduled turnaround of the Cupiagua plant in January, which improved its reliability and integrity. The plant maintenance was executed in a shorter time with less production losses and more flaring reduction compared to the plant. Thanks to operational discipline and the use of equipment with the state-of-the-art technologies. The higher production level during the first quarter triggers that our projection for the year increases to a range between 730,000 and 735,000 barrels of oil equivalent per day. In line with our TESG strategy, it is important to highlight that 93% of the water required to operate in the Upstream segment came from the reuse of production water, thus reducing dependence on water resources. Let's go to the next slide, please. Regarding our activities in the Permian Basin, 25 new wells were drilled during the first quarter of 2024, reaching a production of 84,600 barrels of oil equivalent per day for Ecopetrol before royalties, which represent 11% of the group's production. We also highlight the strong financial results of Ecopetrol Permian. In the first quarter of 2024, we achieved an EBITDA of $229 million and an EBITDA margin of 80%. Next slide, please. The Upstream segment contributed 54% of the group's EBITDA being a profitable and sustainable segment that leverages the energy transition. The EBITDA per barrel increased by 4%, reaching $29.2 per barrel mainly due to higher production levels, better crude basket prices, and cost efficiencies, which partially offset the exogenous effects such as inflation, higher exchange rate, and the El Nino phenomenon. On the other hand, the lifting cost was $12.1 per barrel. If normalized for exogenous factors, which represent about $3.45 per barrel, the lifting cost would be at levels similar to those of the first quarter of 2023. We also achieved efficiencies of $0.38 per barrel, driven by the execution of strategies focused on electrical power, reliability, and subsurface maintenance, which contributed to mitigating the impact on the lifting costs. Let's go to the next slide, please. Transported volumes increased by approximately 28,000 barrels per day, mainly driven by the increasing crude oil production in the Llanos area and higher deliveries of Castilla Norte crude at the Barrancabermeja refinery. During the first quarter, five reversal cycles were carried out through the Bicentenario pipeline with more than 1.2 million barrels transported in response to a preventive intervention at kilometer 153 of the Cano Limon Covenas pipeline which affected operations in the Ayacucho section in March. After successful completion of the repair work, the pipeline resumed operations on April 7th. As part of the strategy against crude oil theft beginning November 2023, the Ecopetrol Group implemented an operational adjustment to transport crude oil production from the Southern region of the country through Ecuador's pipelines. During the first quarter, the Trasandino system has remained in contingency mode been available for use as needed. This measure will be reviewed over the year. Lastly, we highlight the segment's financial results, generating revenues of nearly COP 3.6 trillion and an EBITDA of COP 2.8 trillioncontributing with 20% of the group's EBITDA. Next slide, please. In the first quarter of 2024, the combined refining throughput reached 428,000 barrels per day. Leveraged on more than 96% operational availability, the rigorous execution of scheduled major maintenance activities, and the maximization of domestic crude loads. The integrated refining gross margin was $14.8 per barrel, mainly affected by weaker diesel, jet, and gasoline spreads. This resulted in an EBITDA of COP 1.4 trillion for the quarter. In this quarter, we accomplished multiple milestones of which we highlight this. The commissioning of the mechanical recycling plant at Esenttia currently under stabilization with a production capacity of 12,000 tons per year, the start-up of the third chemical recycling reactor to increase the production of pyrolysis oil for processing at the Barrancabermeja refinery, the completion of the construction phase of the solar park at the Cartagena refinery inaugurated on April 12 with a self-generation capacity of up to 22.1 megawatts. The commissioning of the new wastewater treatment plant at the Barrancabermeja refinery in February of this year. Lastly, the solid cash generation of the segment resulting from strong operational results and the repayment of the FEPEC to the Cartagena refinery on April 1, 2024, corresponding to the balance of the first quarter of 2023. Now I will turn it over to Ricardo, who will discuss the main milestones of the Low Emission Solution business line.
Ricardo Roa Barragan: Thank you, Alberto. In the first quarter of 2024, the gas and LPG raised 172,000 barrels equivalent per day, representing 23% of the group's total production, 65% of Colombian's market share and on EBITDA of COP 753 billion. Reinforcing our commitment to continue the path of the decarbonization and diversification of our energy metrics during the first quarter of 2024 in a scenario marked by the El Nino phenomenon, the Ecopetrol Group intensified its efforts in energy efficiency achieving accumulative optimization of its internal consumption of 0.4 petajoules for this quarter with an impact of approximately 36,000 tons of CO2 equivalent and saving up COP 11.6 billion. These efforts combined with timely efficient commercial action allowed us to decrease the energy cost per barrel from $3.03 per barrel with a 23% share in the overall production lifting costs in the last quarter of 2023, $2.5 per barrel and 21% in the first quarter of 2024. In addition, the digitization energy security progress was made on two fronts. First in the planning of the supply chain in the maintenance of backup inventories to guarantee an eventual requirement of diesel for thermal generation, second in the optimization in times of major maintenance of Cupiagua to guarantee the reliability and availability of one of the main sources of gas in the country. In terms of renewable energies, we completed the construction of the solar plant at the Cartagena refinery, which has a capacity of 22 megawatts equivalent to the consumption of 18,200 Colombian homes. Being the solar farm built inside our refinery in Latin America with an expectation of reaching 524 megawatts in operation, construction and execution by the end of 2024, restating our goals in the short, medium and long-term within the framework of our strategy to incorporate 900 megawatts by 2025, growing with sustainability and generating value for our shareholders. On the social front, we highlight two important initiatives with a positive impact on the sustainable development of the communities in which we operate in the social gas program, the completion of the pilot project in Manaure in the department of La Guajira. In alliance with Hocol, we shallowed the connection of more than 500 families to the natural gas service and the beginning of Phase 2 that will allow the extension of the benefit to 250 more families and the consolidation of energy communities in Puerto Para and Barrancabermeja, Santander, Clavinorte Arauca, and Puerto Carreno. In alliance with Wildlife Conservation Society leveraging the experience of the Wild Project. These projects not only allow us to improve population access to renewable energy, but also to guarantee the conservation of key ecosystems and species in the country. I will pass the floor to Maria Catalina, who will talk to you about our transmission and toll roads, line, and the mine financial milestones.
María Catalina Escobar Hoyos: Thank you, Ricardo. In the first quarter of the year, the transmission and roads business maintained good financial results despite the strong impact of the Colombian peso revaluation against currencies such as the dollar, the Chilean peso, and the Brazilian real during the period. EBITDA decreased by around 16%, standing at COP 2.3 trillion. However, when eliminating the exchange rate effect on EBITDA, the results are at similar levels to those of 2023. Furthermore, committed to our strategic objective of diversifying our operations, the transmission and roads business continues its sustained growth in Ecopetrol Group's results, reaching a 16% share of EBITDA for the first quarter of 2024. Some of the most relevant milestones for the first quarter of 2024 include, in Panama, ISA was awarded the tender to rehabilitate, improve, and maintain 246 kilometers of the East Pan American Highway. The Panamanian Ministry of Public Works awarded this project to Intervial Chile in January with an estimated investment of COP 1.1 trillion. In Colombia, ISA was awarded the contract for the design, construction, operation, and maintenance of the second transformer project at the Primavera substation and the fourth transformer project at the Sogamoso substation. Additionally, it signed a private connection contract for the execution of the [indiscernible] project for the expansion of the Sabanalarga substation. The awarded projects amount a reference CapEx of COP 146 billion. With these significant awards, the total committed investments up to 2030 amount around COP 29.4 trillion consolidating the growth trajectory of our subsidiary in different geographies. Finally, on April 1st, the sale of Internexa Brasil was closed with a final estimated price of COP 2.1 billion equivalent. Please move on to the next slide to detail the group's financial performance. In the first quarter of 2024, we maintained competitive levels of profitability, supported by excellent operational results and efficiencies captured worth over COP 600 billion. We achieved an EBITDA of COP 14.2 trillion and an EBITDA margin of 45%, keeping us within the average of the last eight years for this period and at competitive levels compared to the industry. Additionally, the return on average capital employed, ROCE remains in double-digits, recording 11% and above our annual target of around 9%. On the path to diversifying our business lines, in the first quarter of 2024, the contribution to the total EBITDA from the exploration and production business was 54%, followed by transportation with 20%, transmission and roads with 16%, and finally, refining with 10%. On the other hand, we maintain healthy debt metrics with a gross debt-to-EBITDA ratio of 1.9x at the end of March. This is in line with our long-term guideline where we aim to maintain a level below 2.5x for this indicator. Regarding debt maturity management, we maintain a dynamic of anticipating refinancing needs. Thus, Ecopetrol successfully issued bonds in the international market in January of this year for $1,850 million and obtain approval from the Ministry of Finance and Public Credit to carry out the debt management operation for $1.2 billion in March. These resources are committed by banking entities and are expected to be disbursed in the second quarter of the year. With these operations, Ecopetrol addresses its debt maturities for 2024 and 2025, in addition to demonstrating its commitment to refinancing strategy through the capital markets and access to different credit alternatives with local and international banks. As for our investment plan by the end of first quarter of 2024, the Ecopetrol Group invested around $1289 million equivalent to COP 5 trillion, with dollar investments being the highest recorded since 2016 for the same period. Investments were mainly made in Colombia with a 57% share, while the remaining 43% was at the international level, mainly in the United States and Brazil. Investments in the hydrocarbons line accounted for 67% of the total investments, grouping the exploration and production, transportation, and refining businesses. For exploration and production activities in Colombia, investments were concentrated in the Rubiales, Castilla, Cano Sur, CPO09, and Chichimene fields. Meanwhile, internationally, exploration investments focus on the Permian Basin in the United States. Refining and transportation activities focus on operational continuity and maintenance of refineries and pipeline systems. In the low emission business line, projects associated with gas and energy transition represented 13% of the total investments in the quarter. Resources were mainly allocated to the growth of the gas chain and supply in fuels such as Florena and Cupiagua, and in the Tayrona block in the offshore Caribbean in Colombia. Investments in the translation and roads line accounted for 20% of the total and were mainly allocated to the development of energy projects in Brazil, Peru, and Colombia. By the end of 2024, we expect to make investments between COP 23 trillion and COP 27 trillion as announcing our financial and investment plan. Please move on to the next slide. Regarding net income, in the first quarter of 2024, we recorded COP 4 trillion with the following highlights compared to the same period in 2023. First, an outstanding operational performance reflected in our EBITDA through a positive volumetric effect of COP 0.8 trillion. This was associated with increased production and greater operational availability in both refineries, as well as lower purchases of crude and products. Second, an impact of COP 2.9 trillion due to a lower average exchange rate, a higher level of costs and expenses by COP 0.8 trillion, and a lower weighted average selling price of crudes and products with an impact of COP 0.7 trillion. This resulted in a total decrease in EBITDA of COP 3.6 trillion in the period. Likewise, there was an increase of COP 0.7 trillion in the recognition of depreciation and amortization as a result of higher investment levels and increased production. On the other hand, there was a lower tax provision, resulting in a positive effect on net income of COP 2.7 trillion, derived from the decrease in results. The effective tax rate for the first quarter of 2024 was 36.5%, assuming the deductibility of royalties and a windfall tax of 10%. Regarding tax regulation, the final ruling on the prohibition of deducting royalties will be issued soon by the constitutional court, and the effects of such decision on the Ecopetrol Group will be analyzed based on this decision for the corresponding periods. About the liquidity position, we finished the quarter with a robust cash balance at Ecopetrol Group of COP 17.3 trillion. The primary source of liquidity during this period was the operating cash flow of COP 6 trillion, followed by net debt and interest inflows of COP 1 trillion. There is an improvement in working capital associated with the lower accumulation of the fuel price stabilization fund. And regarding cash outflows, the main disbursements were allocated to Ecopetrol's CapEx and its subsidiaries, totaling about COP 4.3 trillion. Additionally, in the early days of April, the first installment of dividends was paid to minority shareholders, totaling approximately COP 738 billion along with a payment to the nation for the same concept amounting COP 4 trillion. Regarding the fuel price stabilization front, we continue to make progress towards reducing the accounts receivable balance. By the end of first quarter of the year, it stood at COP 22.7 trillion, supported by the positive differential between the local gasoline price and the international reference price. This has partially offset the accumulation of the diesel related account given the current price levels in the country. There is a notable and sustained decrease in the pace of accumulation of the account receivable with a 72% decrease in its value in the first quarter of 2024 compared to the same period in 2023. Furthermore, the government's commitment to reduce the balance was clear in April of this year with the payment of COP 7.8 trillion from the accumulation corresponding to the first quarter of 2023. During 2024, we expect to continue receiving quarterly payments from the FEPC and collect the entire outstanding balance from 2023 totaling COP 12.7 trillion. By the end of the year, with an average Brent price close to $83 per barrel, we estimate an accumulation of the account receivable of the fund between COP 8 trillion to COP 10 trillion, subject to fluctuations in the international crude oil market price and the exchange rate primary. This estimate is significantly lower than the amount accumulated in 2023 of COP 20.5 trillion and in 2022 of COP 36.8 trillion. I'll now hand over to Ricardo for the closing remarks.
Ricardo Roa Barragan: Thank you, Maria Catalina, and thanks to all who have made these results possible for the first quarter of 2024. In conclusion, the capital discipline, the rigor of the financial evaluation of our process allow us to face the challenging environment marked by the revaluation of the peso, the increase in energy cost, inflationary pressures, the price differential of products and our full commitment to advancing gas supply to the country. Likewise, thanks to the technical and operational strength, we have been able to capture opportunities such as the Brent price situation, exceeding our expectation, maximizing our excellent operational performance and diversifying into new markets to maintain a profitable and competitive business. On the production front, the good operational management of the last few months, which highlights the performance of the drilling campaigns in the Permian, Rubiales and Cano Sur, the success in the scheduled maintenance, the assurance of reliability levels, and the entry of the new wells allow us to move forward on the growth path. We expect to be above the target range by 2024, placing us between 730,000 and 755,000 barrels of oil equivalent per day. We will continue to execute our plan for 2024 with technical and financial strength and advising in our strategy towards 2040. Our operation remains solid, accompanied by a rigorous plan of efficiencies and cost control. I thank everyone for their participation. With this, we'll begin the question-and-answer session.
Operator: We'll take questions in Spanish, and afterwards, you'll have a space for questions in English. Please make maximum three questions to give enough room for the rest of the participants that need. Guardiola from -- Mr. Guardiola will be online with a question. Mr. Guardiola, you may proceed.
DanielGuardiola: Good morning. I have a couple of questions. The first one on production, I'd like to understand in a better way. And if you could give me some details about the reduction. In the reduction we saw quarter versus quarter both in Colombian and Permian and how you would expect the production to be during the rest of the year. And online with production, looking at the new production change you published, this means that we'll have an average production for the next nine months between 720 million and 730 million barrels per day. What are the risks you're seeing, in relation that production during the next nine months would fall and 14,000 barrels per day versus what you had in the first quarter of 2024? And the last one, the very quick one. Could you give us details about the details on tax provisions for the second quarter of 2024 as a result of the enrollment of the decision of the Constitutional Court in 2024. Those would be my questions. Thank you.
Alberto Consuegra Granger: Good morning, Daniel. This is Alberto Consuegra. I'd like to give you my greetings. Let's talk about production. When you look at the last quarter of the last year, we have to take into account that Permian was doing its last drilling and completion of wells campaign. So production increased during the last quarter reaching a 158,000 equivalent barrels per day. What happened during this first quarter? The first thing is that we see the effect of the declination of the basic curve of Permian. This means that production goes down from 100,000 to 840,000 something, which was the average in the first quarter. Then the materialization of risks that have to do, first of all, with we had a campaign of, maintenance in the Cupiagua plant that affected the production of gas. And I'll talk about the forward-looking later for the rest of the year. The second thing was the materialization of risks associated to the blockades and problems of third party actions that affected us in 374,000 barrels per day, which affected us in Cano Sur, Rubiales, and Capachos. The third impact has to do with the closing of the -- as a product of El Nino phenomenon that changes the production from 757 to what we had in average. What happens with the rest of the year? Everything has to do with managing risks. So one of the things that we were seeing was the possibility of an expansion of El Nino phenomenon to April and May. That is not occurring with the intensity we were expecting. So production is behaving in a better way that allows us to increase the range from 725,000 to 730,000 or 735,000. The subject of blockages and theft of electrical materials, especially in the heavy oil well areas could also have an incidence in the rest of the year. So this is a subject related to how we approach the territories, how we create relationships with the communities and the authorities in order for us to manage those risks in the better way so we'd be seeing a better perspective of production in that regard. And the third thing is that we'd be able to develop the activities in the time planned. We have to handle the declination of the fields and natural downward slope and make sure that that happens in the right time. For example, in CPO09, right now we have the idea of having an early start between June and September in those facilities, but that depends on the advance of the construction works. If we don't do it, that would just mean a lag in production, and we'll see a positive impact only in the last quarter. So this has to do with the risk management issues. We're very optimistic. We think that we're going to be able to have a production above the initial target set, but we have to insist and say that this has to do with the opportune handling of the risks, we see in the operations.
María Catalina Escobar Hoyos: This is María Catalina, Daniel. Thank you for your question. The first thing would be to say that we understand that the court notified the Ministry of Finance on the suspension of the decision. So right now, the effect has been suspended. However, it is important to mention that in Ecopetrol, for some days, while the decision was still in effect and royalties were deductible. We presented our income tax returns according to what was in effect at that time in relation to the impact that we might be seeing in the second quarter of 2024. It's very difficult to say exactly what the impact will be because that will depend a little bit on how the court modulates its decision or the ruling, the final ruling after they look through the fiscal incident. However, let me tell you about some perspective scenarios. The first and the best one would be to, keep on as we are with deductible royalties, which would be consequent and online with what we announced at the end of the year or what we announced at the closing of the first quarter of 2024. Let's say that a moderate scenario that could be, brought about by the court is that that adjustment of the income tax in 2023 would be able to cross it with future years. And that prepayment, let's say, if that moderation of the crossing, if there's no impact on the GDP, we might have an infection in our cash flow. That'd be one scenario. And the asset scenario would be one where the court would correct the ruling and say that royalties would not be deducted on 2023. That would impact us in COP 1.5 trillion, which we would have to adjust as a lower balance in favor or higher tax versus what we reported on the first quarter, that impact not making royalties deductible would be more or less COP 500 million. And when the court comes out with a ruling, we would have to see how much would have been accrued in the second quarter of the year, but the impact would be more or less, around COP 2 million or COP 2.3 million approximately or trillion. I would reiterate that these are just scenarios. It will depend of course on the decision taken by the court. We are respectful of the decision they make, and we will act according to that ruling. Thank you.
DanielGuardiola: Thank you, Maria Catalina and Alberto.
Operator: The next question comes from Ricardo Sandoval of Bancolombia. Mr. Sandoval, you can ask now, please.
Ricardo Sandoval: Good morning, everybody, and thank you for the talk. I have a doubt in relation to your interest related to gas. I'd like to hear Alberto and Ricardo talk about or to tell me if you have studied the assets that kind of has in the production of gas, it represents more or less 20% of the demand of the country. So undoubtedly, the country needs the gas produced by that company, which might have -- which might be going through difficult financial situations. I'd like to know about those assets and if you'd be interested in an acquisition process or if you think that it's probable that that you might improve the production of gas in those fields. What are your thoughts about this?
Ricardo Roa Barragan: Good morning, Ricardo, and thank you for your question. This is Ricardo Roa speaking. In effect, we have known through the communication media the possibility of having come going to a sale of its shares and of its assets in the country. That of course is probably part of the appraisal opportunities that, Ecopetrol does on its portfolio and understanding logically as we've announced, certain deficits of gas in the country for the next five years, this asset will be observed in the internal protocol of analysis of those opportunities of investment, within the Ecopetrol Group, not only that but any asset that we might be thinking of incorporating within our purpose of ensuring or guaranteeing to the country the supply of gas in a permanent way. Those are being evaluated within the procedures that I've already mentioned and which are part of the rigor that we appraise. Any decision that could be taken, of course, if, we take a decision, we would be advising the market in a timely manner as to the level of production to reach the levels we had in the fourth quarter of 2023. That's our big bet in the investment plan we have right now. We are trying to maintain the levels of production we reached in 2023. The path looks bright in the first quarter, 733 million barrels per day. I can't announce the number of April yet, but I think it's an even better number, and it shows that we are continuing on the path of, making all of our fields ready and reach the excellent production levels we obtained at the end of last year. I would now give the floor to Alberto if he wants to go in-depth on the subject of production and gas asset of Canacol. Ricardo, thank you. Well, thank you for your question. I'll add the following. We are neighbors in many of the different fields or blocks of Canacol in the lower valley of the Helena area. So what we do is make an analogy with what's happening in our own fields to understand the adjustments we have to do in the development plans of our production fields. For example, the one we announced recently, which is the case, but also to adjust the profiles of what would be the objectives, the exploration objectives or targets in those blocks or fields. We're continuously looking over and looking at kind of at least have more certainty of what we have to do in our own fields.
Ricardo Sandoval: Thank you very much.
Operator: Now we have Andres Duarte from Corficolombiana. Mr. Duarte, you may ask now.
Andres Duarte: Good morning, and thank you very much. I have three questions. If you could answer them all, well, great. But at least the first, I'd appreciate if you can answer it. In relation to the production of Ecopetrol without America and Permian and without Hocol, in fact. Only four fields, CPO-09, Victor, Caño Sur, and San Francisco, highlighting Caño Sur, which shows increases in production. The other show a reduction all annual and most of them quarterly. I'd like to know if within your expectations, you have the recovery of some of those fields that have had a reduction and what would support that expectation? And the other question is related to gas, specifically with the possibility of importing gas from Venezuela, if that would be feasible and if the restrictions that sometimes exist, sometimes don't exist would be in place. I'd like to know if that's that gas oil pipe is from Perveza [ph]. The 100% of the investments related to the recovery of that oil line gas line would be done by that or if you are foreseeing the participation of a corporate rule for the recovery of that gas pipeline. And a question about the midstream. There is a reduction in the quarterly cost, versus the fourth quarter of last year of the prior year in the cost of the barrels transported for 22.8%. I'd like to have an explanation. And that's a reduction in dollars. I'd like to hear, your explanation about that reduction. And if you can remind us what part of the transport is in dollars and what part is in dollars, and if it's the gas or pipelines or the oil pipelines or the poly pipelines, the ones that are indexed into dollars. Thank you very much, and good luck for the rest of the year.
Ricardo Roa Barragan: Well, in relation to the subject of production, I would like to clarify the following. Usually, the production in Rubiales and in Castilla fall during the first quarter. And it's more pronounced in Rubiales because of the closing of that occurs during the summertime. So what would we like to see? An increase in the production of Rubiales of Castilla in addition to the fields you mentioned. But you must remember that the national production is in those assets in Rubiales, Castilla, Chichimene, in CPO-09, and in Cano Sur. That's in the big portion of our production. And we have to keep an increasing production there to counter arrest the natural declination, especially in the Piedmont fields where there's a reduction or a declination in gas. At the end of the year, we would be expecting a slight increase in Castilla, Chichimene, and Rubiales. And that together with the fact that the Permian will keep an outlook of production between 81,000 and 83,000 barrels for the year.
María Catalina Escobar Hoyos: Ricardo Roa, on the subject of gas, Andres, and good morning, and the possibility of importing from Venezuela. From three points of view. The first is to have enabled the platform, the legal and normative platform to do it. And we're still holding discussions with OFAC about the permanent supply of information in relation to the request we made in November of 2022 to a fact to consider the decrease of the restrictions we have with Venezuela. The Ambassador of the U.S. in Colombia has told us that they are reviewing the subject. And secondly, to remind you that we have an agreement in effect from 2017 to 2027 where we have enabled between 340,000 cubic feet per day to be transported, connections related to the quality of gas and the price established. And this agreement is in effect, and that is the mechanism or the legal vehicle to be able to once the restrictions are taken away, the one we'd be using now in relation to [indiscernible] and their news, they'd be able to deliver 50,000 cubic meters of gas per day. That's the information they've given us, and we've been working with them on the activities of inspecting the gas oil line. We send it, went through it, and we have an estimated budget of between $35 billion and $40 billion to make this asset operational. The asset is owned by us and any activity or investment that would be needed is to be borne by them. We've had some manifestations of interest from the gas transporters of Colombia to our participation both in the repairs and obviously in the possibility of receiving the charge, from the use of that system if enabled within the country. So we think that there'd be no restriction for one of them to be in charge of the repairs and the reading of that gas pipeline.
Hector Manosalva Rojas: This is Hector Manosalva. I'm the President of Cenit. I'd like to talk about the cost of transportation. The average cost of transportation for 2023 was more or less $3 per barrel. And for the last quarter of 2023, it was $3.75 mainly associated to the higher OpEx that we made for the repairing of the system, either because of geotechnical reasons or mechanical reasons. For the third quarter of 2024, the cost is of 2.99, I'm sorry associated to two main components. One, the exchange rate and two, lower OpEx costs because of lower needs of repairs in comparison to the last quarter of last year in relation to the fees where the tariffs of the oil pipelines are denominated in dollars. The ones of the polyducts are denominated in pesos. Thus, 80% of the revenues denominated in dollars for the segment and 20% in pesos. But in terms of cost, 84% of the costs are executed in pesos and 16% in dollars. Thank you.
Operator: Thank you. Katherine Ortiz is in line with a question. You may proceed.
Katherine Ortiz: Thank you. Good morning. I have two questions. The first one is related to the cost of raising. Even though that cost was impacted with -- by the exchange rate in a significant amount, I'd like to know if at that level, if we exclude the effect that we might see forward in the exchange rate, we could reach a stability level of that cost, or if on the contrary, we might still see additional effects, inflationary or of any other type in that sense? That would be my first question. Then the second question is connected to the answer just given about the imports of gas from Venezuela. And it's, I'd like to know or have clarity, if Ecopetrol would not add this intermediary in any aspect in the process, that won't be completely done through external parties, and Ecopetrol would not intervene?
Alberto Consuegra Granger: Katherine, good morning, and thank you for your question. I am going to refer about the cost of the survey. We look at the monetary mass and specifically look at the outcome of the last quarter of last year. The cost of raising it was $20 this first quarter as a better result of $12 per barrel and of that survey. And what is that due to? It's because we have an important level of production and also because we've been able to achieve certain efficiencies. We're competing the level of the accumulated inflation. We've renewed contracts, and there's an element that's extremely important. It's the stock exchange price of energy. And it's, I think we said 25% of the cost of the survey. As the El Nino phenomenon decreases, the prices in the Energy Stock Exchange will reflect a better view for the rest of the year. So that price in the Energy Stock Exchange will be extremely significant. What we're trying to do is to maintain that monetary math flat and through efficiencies and of course managing the risks. But on our target we have a guidance of between $12 and $13 per barrel with the idea that we'll be very close to the low range of $12 per barrel. And Katherine, I'd like to compliment by saying to compliment, Alberto, to try to illustrate the importance of our program of efficiencies and the control of costs. We have a program of efficiencies in the different areas of the company, and we're trying to find efficiencies in COP 3 billion in 2024. During the first quarter of the year, we had efficiencies around COP 650,000 million. When you translate that specifically into the indicator of the serving cost, that serving cost of 12.1 that we're seeing during the first quarter would be a cost of more or less $12.4 or $12.5 per barrel. If we had not implemented that efficiency plan or saying it in a different way, we were able to avoid more or less between $0.30 and $0.40 in the cost of the survey. So I'd like you to keep that data in mind. It's an example of how the efficiency plan is really setting or trying to stabilize the cost trend.
Ricardo Roa Barragan: This is Ricardo Roa, Katherine. Good morning. To clarify the subject of the eventual import of gas from Venezuela. Ecopetrol would be the one who has had entered into that commercial vehicle for some time already. And we might eventually do the import off the import through the [indiscernible]. And that's why, I mentioned the elements. I said before that we have to have no restriction in order to the bio valise the flows of gas from Venezuela into Colombia, but the intermediary role would be an eventual scenario where Ecopetrol would yield the rights of that agreement to an operator or assign them to a commercialized road dealer. But that would be something that would also need a political willingness of the counterparty, in this case of [indiscernible]. It's something we have not evaluated yet and we're not considering yet. Because Ecopetrol, in its historical role is to guarantee the supply of gas into the country. And if the gas pipeline exists and if there's a roadmap in having the gas pipeline already ready. That's something we've been analyze and taking into account what we said before, provided that the conditions -- the legal conditions and the restrictions of OFAC would allow us to develop that project.
Katherine Ortiz: Thank you very much.
Operator: The next question is from Ana Guasca from Corredores Davivienda. Ms. Guasca, you may ask.
Ana Guasca: Good morning. My question refers to the changes that we published recently from the senior management. I'd like to know what that process is like, if you have a date, and if you can tell us about the process of the selection given the conditions in the country. Thank you.
Ricardo Roa Barragan: Ana, good morning. Again, Riccardo Roa. First, I'd like to remind you that there is a policy of succession in Ecopetrol that we are complying with. There's also a policy of a deputy positions, and they are in effect for those highly relevant position cyber changes that occur because of several reasons, beginning with the one of executives who believe that they have to close their journey in the company, others related to health reasons or others because of priorities in their own personal life that make them decide to see their positions, and we have to understand them. And in that respect, a company that has 7,553 employees is exposed to those dynamics. But in the succession policy, we are having people who fill 100% of the requirements of the profile to become deputies of [indiscernible] position. 72% of the positions that have been replaced or substituted during this year have come from the organizational or administrative structure of people who have been in the company for many years and who have assumed those positions. There is an agreement with the Board of Directors understanding that some of their duties are among their duties there's the possibility of assessing and evaluating that those positions at level one. And then we've decided to do screening processes and next placement. We're placing directors who have the experience and the profiles and the skills, and they can participate in the screening process through a head or [indiscernible]. That's what we've been doing, respecting the times for those positions and the succession line that exists within the policies associated to that process inside Ecopetrol.
Operator: We will continue with the question-and-answer session in English. Rodrigo Almeida from Banco Santander is online.
Rodrigo Almeida: Hi. Good morning, everyone. So I have two questions from my side. First, I wanted to discuss a little bit the capital allocation strategy of the company, and I guess particularly related to the hydrocarbons and reserves growth from the inorganic perspective. It seems like the company is getting good perspectives in Colombia itself, mostly gas focused, right? So I wanted to think about outside of Colombia and what's the strategy there. I think this comes into the perspective that we've seen a lot of low carbon profile discoveries across the world. I think the last one that we saw is Namibia with Galp, talking about Venezuela also. But I wanted to get an international perspective here. If you could ring to us, what's your priorities on the international side, Venezuela, U.S. and conventionals, Brazil offshore, offshore in other countries, I think would be great to understand. And if you could give us a quick update on the exploration efforts in Brazil offshore also regarding Pau Brasil and Gato do Mato. If I'm not mistaken, you might have just started drilling in Pau Brasil and Gato do Mato was under review a couple of years ago. So I wanted to see where it stands. And this also, I mean, leverage is quite low if you adjust for CapEx. So I need to understand if you see space for inorganic growth there, especially outside of Colombia? And then the second point I wanted to ask you is, we talked a little bit about the lifting costs, so I wanted to check on the dilution costs, which went up a little bit. So now that we see production going a little bit up, I would say second quarter. How can we balance a higher production with probably lower naphtha prices that that could potentially benefit the dilution cost there also? So that's what I have from my side. Thank you.
María Catalina Escobar Hoyos: Rodrigo, good morning. This is María Catalina Escobar. Thank you very much for your questions. I am going to answer one part of the first question, and then I'll give the floor to Alberto and Nicolas so they can continue giving more details in relation to the allocation of capital strategy, specifically with the business of hydrocarbons. I'd like to highlight two topics. Number one, we announced to the market that we have an investment plan for the following three years, 2024, '25, and '26. That's more or less, reaches $20.2 billion. Our idea is to maintain annual investments between $5 billion and $7 billion. And online, with the strategy that we have up to 2024. The idea is that between 60% and 65% of that CapEx would be executed on hydrocarbons, on the line of hydrocarbons, prioritizing or giving a lot of relevance to this subject of the growth of the reserves of a company and making sure that those investments are done in a profitable way in the business group, looking for returns between 8% and 10% as we have announced. Pursuant to what we have announced, specifically in the plan of 2024, but we are considering in relation to investments in the U.S. and Brazil of the $6.5 billion of the total plan for 2024, more or less $1 billion to round up the figures will be invested in the U.S., and $51 million is the capital we've allocated for investments in Brazil. The plan does not incorporate any resource up to date for assets in Venezuela. And if we evaluate or we have opportunities to do so, and if the conditions would enable a potential or a prospective investment, we would then do the appraisement according to our process of capital allocation if it's -- if we could or not allocate those resources. Now, Alberto, you have the floor.
Alberto Consuegra Granger: Rodrigo, thank you for your question. And now I'll talk about Brazil. What are we doing in Brazil so far? Right now, we have three types of activities. The one, the first one is related to completing the seismic studies on the fields we have with Shell on the south facing of Santoz. That seismic work was already completed, and now we're doing the evaluation process to determine the exploratory objectives. The second thing has to do with [indiscernible]. We're ready to build the well. We are waiting for the resolution of an environmental strike in Brazil that is affecting some fields, especially ours. And the second one has to do with [indiscernible]. The idea is to have the idea of the sanction of the process either in the last quarter of this year or early next year.
Rodrigo Almeida: Could I just make a follow-up on this question, Maria Catalina regarding…
María Catalina Escobar Hoyos: Maria Catalina planning…
Rodrigo Almeida: Do you include any inorganic growth? Or if we do see M&A's or anything related to that front, how do we -- how can we connect that to the investment plan?
Nicolás Azcuénaga Ramírez: Rodrigo, good morning. This is Nicolás Azcuénaga. I'm the Vice President of Strategies and new business in relation to inorganic opportunities outside of Colombia. And in fact, as part of the systematic process of a review of the portfolio and analyzing options in all the different areas where we present, right now there's nothing concrete. And if something could materialize and reach the maturity point required, we'd be informing the market. In relation to the cost of the service, the perspective of what we're seeing is that we're going to maintain the guidance of $12 to $13 per barrel. But with the interventions that we're doing from the point of view of introducing efficiencies and the renegotiation of contracts related to maintenance activities, both on the surface and in the subsoil work. Being able to see certain stability and inadequate management versus or trying to combat the high inflation we saw in former years. This allows us to see that we're going to live through a period of certain stability, and we're going to try to maintain the low range of $12 to $13 per barrel. That's what we're trying to maintain.
Rodrigo Almeida: And so regarding dilution cost?
Operator: [Indiscernible].
Unidentified Analyst: Hi, thanks for taking my questions. So my first would be regarding lifting costs. It came down this quarter sequentially. It has been kind of erratic, and I would be interested to understand how we can think of it going forward throughout this year. Also I would like to hear your comments about any progress to extend the Permian deal with OXY. And also another question would be in the downstream refining segment. We have been seeing solid margins. If you have any comments on how this could continue to behave for the remainder of the year.
Alberto Consuegra Granger: Matheus, good morning, and thank you for your question. Now in relation to the lifting, I would say the following in relation to the behavior. It varies, of course, because of the exogenous effect related to the exchange rate, the monitoring mass associated to the energy costs, maintenance on the surface and subs for labor costs, and costs allocated that monetary mass is stable remains stable. So in as much as we don't have an exogenous effect, mainly of the exchange rate. And if we can control the levels of inflation that we are doing right now, we'll see lifting cost that's more stable. And that's why I mentioned that we're going to maintain that range between 12 and 13 and the goal is to be closer to the $12 per barrel floor in relation to the margins and the downsize. I'm going to the third question, and then I'll give the floor to Ricardo and to Nicolas. In the downstream, the margins are solid. We have to recognize that they're lower than the ones we had last year. And this is related to a reduction in the prices of gasoline and diesel at the international level. And that of course has an incidence in the result of the margins, but we're seeing margins between $14 per barrel, and we expect that that perspective will be maintained throughout the year.
Nicolás Azcuénaga Ramírez: Good morning. This is Nicolas Azcuenaga. In relation to the opportunities of expanding our presence in Permian with Oxy. Following my earlier answer, we analyzed the portfolio not only with Oxy, but also with other opportunities that could come up in that area and in other areas. And if the opportunity matures, we would communicate it in a timely manner to the market. Thank you.
Unidentified Analyst: Thank you all.
Operator: Now we have Ann Mills [ph] from the Bank of America. Ms. Mills, you may proceed. And we also have from Berkeley. Mr. Badr [ph] you can ask your question now.
Unidentified Analyst: You can hear me. Some of my questions have already been answered before. So my final one would be about your cash balance, if we can have an update. So if we can if based on your 1Q earnings, your cash balance ended around $4 billion and you also suggested that you get between $1.5 billion to $2 billion of the Fed payments from Ascienda on the earlier side of April. So pushing the cash balance to $5.5 billion to $6 billion. And I think that in the slides, you only show that you have something around $1.5 billion to $1.8 billion of maturities for the remainder of 2024. And part of that is going to be covered with the revolver of $1.2 billion that you will, get the funding from in 2Q. So my question is that why are you keeping the cash balances so high at the moment? Is that, related to the previous questions for potentially, some sort of M&A or I have not seen cash balances for Ecopetrol around $5.5 billion to $6 billion in the past. So what are you planning to do with that? Thank you so much.
María Catalina Escobar Hoyos: Good morning. This is Maria Catalina Escobar. Thank you for your question. Here, we have two important subjects in effect. The balance, the cash balance of approximately well, what we have in dollars is what we reported for the business group. And it's important to say that out of those $6.5 billion, approximately $1.7 billion is the cash position of ISA. And so in that sense, those resources from ISA or the resources that ISA will be using during the year to guarantee their operations. ISA is an affiliate where in the different areas, depending on the business it manages, it requires high levels of cash availabilities, especially in many of the big businesses it's doing or it's carrying out in Chile. So that's important to mention. And the second one I'd like to mention is that the figure you mentioned reflects the cash position after receiving the payment of a pick. From the beginning of April what it does not reflect is that we, in the beginning of April, made a payment to the nation and to the shareholders, to the minority shareholders of a capital of more or less COP 4 trillion, that is $1 billion more or less. That's what we ended up, drawing in dividends at the beginning of the year. We will also be making additional payments in dividends to those shareholders in the remainder of the year starting in the second quarter of more or less, $1 billion or COP 8 trillion approximately. So when we talk about the fact that ISA has part of the -- a big part of the cash and that we have to draw to pay dividends during the rest of the year, that we need resources to guarantee the operations of the company, the investments of the year, which are quite considerable, the company is having a cash balance that even though it looks high right now and in addition to the receipt of the funds from that, we'll have a seasonality that's normal throughout the year. And right now, we're not seeing it as a very high balance that would allow us to make possible mergers or acquisitions or maybe an organic, higher CapEx, but we'll be monitoring the cash balance as the year goes forward and also depending on the prices of the crude oil.
Unidentified Analyst: Thank you so much.
Operator: The next question comes from Ed Paso Vasconcelles [ph] from UBS. You may proceed with your question, Mr. Vasconcelles.
Unidentified Analyst: Hi, thanks for taking my question. It's on the energy transition theme, and taking advantage of the company's stake. I would like to get your updated view on the best way to balance investments in the core business, hydrocarbons with investments in alternative sources of energies. In your view, what would be the best alternative to invest in other sources? Is it organically, inorganically, other than Colombia, what would be the top priorities in terms of regions? And also are you seeing more difference in returns in each one of the regions? This is my question. Thank you.
Ricardo Roa Barragan: Thank you, Tasso for your question. This is Ricardo Roa speaking. ISA in the business model, the original business model has shown better performance, economic performance. The nature of the core of the essential business of ISA is the transmission of electricity. Today in Brazil, the business is larger in assets and in revenues than the one ISA has in Colombia. And with its presence in seven countries, it's been developing intensive CapEx investments and assets to roads and also in the transmission assets. ISA has the possibility today of developing additional services to their core business of transmission that we've been evaluating permanently. For example, going into the business of generation or into the storage of energy with batteries or accumulators. We have thought that if that because of that could grow and contribute to the results of the first quarter of 2024, it's 16% of the EBITDA of the whole company, of the whole Ecopetrol Group. That would be like COP 2.3 trillion of net profits of EBITDA. I'm sorry. That would denote a very good performance. The possibility of having more business or more deals as part of that portfolio. We have of course, restrictions related to the debt, relationship with EBITDA at higher with Ecopetrol, at EBITDA relationship. And in those investment plans, we've been working jointly with ISA's administration or management to try to allocate CapEx and allocate resources mainly focused on continuing developing the traditional business of energy transmission. Other options that we're looking at either organically or inorganically outside of Colombia. Obviously, in ISA portfolio, there are many, but all of them centered were focused on transmissions and roadways. And in the hydrocarbon sector, we've continued to evaluate opportunities of business outside of the country provided they represent; one, a contribution of growth in our economic indicators, and two, a contribution of reserves and the intention of maintaining reserve reposition indicator of 3%, which is our target. And on that line, they should generate the adequate returns or value. Those assets should generate those returns, and we're permanently evaluating them from the vice presidency of strategies.
Operator: Thank you very much. Right now, we don't have any questions live. Now we have questions from the chat. Bruno, since the government has paid a significant part of the balance and accounts payable of the FEPC. Those were reduced to COP 23,000 million to COP 15,000 billion on 1st of April to expect important quarterly payments from the government. In that case, how quickly would the balance of the FEPC should converge to zero? The second one is given the free cash flow and the recent agreement with the FEPC, what level of payment are you considering for the next 12 months? And the third question is, would you be able to remind us about the gap that you have between the prices of gasoline and diesel in Colombia with respect to the international prices? Could you comment on the trends of prices both of gasoline and diesel in the country?
María Catalina Escobar Hoyos: Bruno, good morning. This is María Catalina Escobar. Thank you. for your questions. The relation to the first question on the payments that we expect from the FEPC of the civilization and fuels. First, I'd like to reiterate that Ecopetrol sees that its outcome is very much benefited from the payments we continue to receive from the national government that have allowed us to reduce significantly the accumulation of monies into the fund to the almost COP 15,000 million we had to date in effect to date. Of those COP 15,000 million, we have approximately COP 12.7 trillion that would correspond to the balances of effect that were accumulated during the second and third and fourth quarter of 2023, and approximately 2.2 trillion correspond to the accumulation we've had during the first quarter of 2024. Our expectation and what we've been talking with the Ministry of Finance we're discussing with the Ministry of Finance is that we could receive during 2024 these balances that are still pending payment of 2023. That is COP 12.7 million that I just mentioned that in relation to the first part of your question. Now what are we expecting in terms of the cause of the FEPC, and what might make it converge to zero? Right now, Ecopetrol is starting off from the basis that we would not have. At least during 2024, we would not potentially have an increase in the prices of diesel unless the government makes a decision besides otherwise. And that since we would have to have the higher rent prices into account that they could pressure that accumulation of prices upward. We're seeing the accumulation of FEPC during the 2024 term. It will be between COP 8 million and COP 10 million. This is a range that will, of course, depend on the behavior of those prices. In relation to I think the President wants to add something.
Hector Manosalva Rojas: Yes. I'd like to say or tell Bruno that during the last 18 months, we have diligently and because of the good attitude of the national government, we've been managing revenues and payment from the bank of around COP 51 trillion. And in addition to the possibility we've had recovering those balances in an adequate manner, there are other permanent commissions between the Finance Ministry and Ecopetrol to channel and to manage the payments in the times that we've been managing historically. Of course, we must say that this is part of the product of the policy of increasing the prices of gasoline. In today's price conditions, we would have a small surplus that might offset the deficit being generated by the non-increase in the prices of diesel with the figures already mentioned by María Catalina, but which would also reflect a behavior that comes from the mark the demand of those fuels. The increase of diesel is three -- I'm sorry, gasoline is 3.3%, and diesel has also increased considerably, and that's an increase of 6.3%. The dynamics of demand are associated to the final result of the subsidies to both diesel and gasoline are being evaluated by the national government by the Ministry of Mines, by the Ministry of Finance. So probably those balances would go back to the original conditions of the FEPC from 10 or 13 years. And deficit per year would be COP 2 billion or COP 3 billion. We would go back to that condition or that position. If the conditions take place the national government is thinking about enacting several decrees about the higher control of the price of those fuels to the different segments of the market that require it. I'm talking about a decree that would be final to eliminate the subsidy to large consumers. We're talking about a regulatory division that would probably bring about a lower price of fuels to the market. And with those decisions and those actions, the expectation is that in at least a year, we'd be returning to the normal conditions of the balance in FEPC. That would be at least COP 2 billion or COP 3 billion per year -- trillion per year.
María Catalina Escobar Hoyos: Thank you, Bruno. In relation to the second question on dividends and what we were expecting, in the next 12 months. But we're expecting pursuant to what was approved in the General Shareholders Meeting as a dividend of COP 312 per share. Over which, as I just said, we made a first payment to the minority shareholders and to the majority shareholders and to the majority shareholder. And we're pending those additional payments for 8,000 million during the year. And that distribution of dividends would correspond to an ordinary dividend payment of 60%, which is within our framework of policies of distributing between 60% and 90% and an extraordinary dividend of approximately 7%. And right now, we don't have any additional, anything additional to what I'm just telling you. Thank you.
Operator: From Credicorp Capital, she asked, what expectations do you have about the differentials in the prices of and what expectations do you have on the tax rate for the second quarter?
Felipe Trujillo: This is Felipe Trujillo, I'm the Marketing and Commercial Vice President in relation to Brent and the spreads. We see a positive trend for the interest of Ecopetrol. We see spreads of one digit versus this quarter and the same quarter of last year. We had a recovery of that that differential of 3.4 in the first quarter of 2023. We had two digits. First quarter, we're managing one digit, and this is how we're forecasting it for the remaining quarters.
María Catalina Escobar Hoyos: Thank you for your question. This is Maria Catalina Escobar. Relation to the expectation on the tax rate for the second order of 2024 as you realize, you could realize our effective tax rate after cut out of the first quarter of 2024 was 5%. It's important to mention that that rate assumes because of the level of rent that we experienced during the quarter, a surcharge in the income tax of 10%. What is the expectation that we would have for the second quarter of 2024? According to the behavior of the brent that we're seeing, the price of Brent would be above $82.3 or $82.5 per barrel and that lead to that surcharge income to be around 50% instead of the 10% that we had. And that that directionally would make the effective ex tax rate to be higher in the second quarter than the one we saw in the first quarter of the year.
Operator: Alejandro Sánchez from [indiscernible]. Is there any more information about Orca Norte-1? The results, show there would be a viability, a commercial viability of those findings. Thank you.
Alberto Consuegra Granger: Alejandro, good morning. This is Alberto Consuegra in relation to Orca Norte. We continue to do the technical assessment of having found gas in the fields different from the Orca Norte, the initial discovery that assessment or not. That evaluation should be finalized when they planned at the second quarter, and we'll give you more information when we provide the results for that period. The second thing we have to highlight is that we offshore should be seen as a province or we have four large basins. The one associated with the different fields that we have with Oxy well, will be drilled in the beginning of this year and the end of this year and the beginning of next year. Anything related to the Orca well and everything related to the northern area, which was our main well, this means that we'll continue drilling, trying to find other prospects. And then in the South Caribbean basin, we have to see and we have to understand how we assign capital or allocate capital in the best way. All of this analysis will probably lead to have a better or a clearer perspective when we have the results from the different wells.
Operator: You've indicated that Ecopetrol might participate in the development of offshore renewables. Could you please indicate what your return parameters for that investment are?
Ricardo Roa Barragan: Alejandro, good morning. This is Ricardo Roa. In our portfolio and in the road map of 24B or going to 24D, we have to incorporate in our energy matrix projects with renewable energies, one of them with a higher potential, and that would be the power offshore. The government has taken has done a round of allocating areas of the Caribbean Sea to develop those potentials of energy, power, which is one of the main supports for the eventual production of low emission hydrogen, and we start off from that expectation of developing projects using that type of technology. The parameters and the figures are we don't have them yet. We are trying to see if we can allocate those levels of investment required in the offshore. Our evaluation metrics would give us a central priority to develop those types of projects in the territorial platform where there are good factors and wind regimes compared to planned factors that could be up around 50% to 60%, which is the greatest benefit shown by the wind regimes in the Caribbean Sea. If we look at it in that manner, we'd be interested in participating in the developments that according to the scheme stated by the government in these rounds of allocating areas for the potential exploration of the power, to be awarded to a person, a public, entity in the country, or a juridical person in the country, and we'd have that possibility of exploiting all the power, both inshore and offshore. Already made contact with large players of the world who have the capacity and the skills to develop those technologies in the offshore. And that's why it's part of the portfolio of the projects we permanently evaluate.
Operator: There is no more questions, so we'll give the word to the President. He wants to give you a fine message.
Ricardo Roa Barragan: Thanking you for your presence, for your questions that have allowed us to clarify several aspects of what we already announced. And to reiterate that at Ecopetrol, we're more than a 120,000 people who work very hard, every day to protect as we have shown you what is under our domain or control for Ecopetrol to continue being the big or the great company of all Colombians and to be able to generate in them and in the evolution of our main indicators, the possibility of having available resources required to move forward in our roadmap of energy transition. Thank you very much.
Operator: Thank you, everybody. With that, we close the conference of our results of the first quarter in 2024. Thank you for your participation. You can now disconnect.